Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS conference call. [Operator Instructions]. As a reminder, this conference call is being recorded and will be available on the BOS website as of tomorrow. Before I turn the call over to Mr. Cohen, I would like to remind everyone that forward-looking statements for the respective company's business, financial condition and results of its operations are subject to risks and uncertainties, which could cause actual results to differ materially from those contemplated. Such forward-looking statements include, but are not limited to, product demand, pricing, market acceptance, changing economic conditions, risks and product and technology development and the effect of the company's accounting policies as well as certain other risk factors, which are detailed from time to time in the company's filings with the various securities authorities. I would now like to turn the call over to Mr. Eyal Cohen, CEO. Mr. Cohen, please go ahead.
Eyal Cohen: Good morning, everyone, and welcome to BOS Second Quarter 2025 Earnings Call. I am joined today by our CFO, Mr. Moshe Zeltzer. On our previous calls, I emphasized our focus on the defense sector while diversifying our customer base. That strategy is paying off. I'm excited to share what has been another exceptional quarter for BOS as the momentum from our record-setting first quarter continued in the second. We have delivered our strongest revenue growth in recent years with sales jumping 36% year-over- year to $11.5 million this quarter. This growth is being driven primarily by the exceptional performance of our Supply Chain division, which increased revenues by 57% to $8.3 million this quarter. While we are addressing some temporary challenges in our RFID division, the overall trajectory gives us confidence for the remainder of 2025. Profitability, our net income surged 53% to $765,000 compared to the same quarter last year. That is $0.13 of earnings per share just in the second quarter. This outpaced our revenue growth, which tells you we are not just chasing top line numbers, we are building a more efficient operation and leveraging our scale to drive profit efficiency. Our EBITDA increased to $900,000, up from about $800,000 in second quarter of 2024. This gives us the operational cash flow we need to invest in growth while maintaining financial stability. Now let's talk about our contracted backlog and what it tells us about business momentum. We ended 2024 with a record $27 million in contracted backlog. As expected, it declined to $22 million by March this year as we executed on those contracts and converted backlog to revenue for a record first quarter result. Our backlog has grown back to $24 million as of June 30 this year, giving us increasingly clear visibility into the back half of the year. Our financial foundation has never been stronger. Cash and equivalents grew to $5.2 million, up from $3.6 million at the year-end. Combined with $24 million in total equity, we have the resources to execute our expansion plans without compromising operational stability. We have the flexibility to capitalize on opportunities as they arise, whether that's supporting organic growth or pursuing strategic acquisitions. Based on that, we are seeing in our business and our contracted activity for the second half, we are raising our full year guidance. We now expect revenue between $45 million and $48 million. That's up from our previous guidance of $44 million. At the midpoint, it's about 16% year-over-year, and that is entirely organic growth from our business initiatives before any additional benefit of possible strategic initiatives. More importantly, we are raising our net income guidance up from $2.5 million to between $2.6 million and $3.1 million. At the midpoint, it's about 24% year-over-year. This reflects not just stronger revenue expectations, but our confidence in our ability to convert that revenue into bottom line results, plus profit leverage as we scale the operating base of our business. Our guidance is based on concrete contracted activity with both existing and new customers, diligent execution and commitment to deliver the best results for our stakeholders. With that, I will turn the call over to Moshe to cover the financials.
Moshe Zeltzer: Thank you, Eyal. I'd like to focus on some of the operational dynamics that are driving these results and address a few specific items that deserve your attention. While we are thrilled with our revenue growth and our net income, we see additional opportunity in our margin performance. That is an area we are focused to improve and deliver even better bottom line performance in the future. Our overall gross profit margin was 23% compared to 26% in the same quarter last year. This quarter's margins were a little lower than target, while last year was higher than typical. We are aiming to achieve a balance in the middle where we can deliver sustained performance. Let me break this down by division so we can understand how we can drive even better performance down the road. Our RFID division saw a gross profit margin temporarily decreased to 19.1% from 21.1%. This was primarily due to certain service line challenges that we have already identified and addressed. We have implemented restructuring initiatives, and we expect this division to return to normalized performance levels by Q4 2025. Our Supply Chain division delivered a 24% gross profit margin, which is within our expected parameters. The 28% margin in Q2 2024 benefited from a particularly favorable product mix that quarter. So the current level represents a more sustainable baseline. As part of the RFID restructuring, we recorded a noncash goodwill charge of $700,000 this quarter. This charge was largely offset by $696,000 in favorable currency fluctuation between the U.S. dollar and the Israeli new shekel. Our cash position improvement to $5.2 million reflects strong operational cash generation, supplemented by $400,000 from warrant and option exercises in the second quarter. We are managing working capital efficiently while supporting our growth trajectory. The increase in deferred revenue to $3.2 million from $2 million at year-end indicates strong advanced booking and provides additional confidence in our near- term revenue visibility. Thank you. And now let's open it up for your questions.
Todd Felte: This is Todd Felte from StoneX Wealth Management. Congratulations on a great quarter and raising the guidance and the strong outlook. Just had a couple of quick questions. What percent of your revenue is now defense based?
Eyal Cohen: It's more than 60% of our total, the consolidated revenues, and we anticipate that it will grow in year '26 because of the growing demand in this Defense segment.
Todd Felte: Okay. And is that Defense business, is it mostly directly with the IDF? Or is it through other companies like Rafael or Elbit?
Eyal Cohen: Yes, it's mostly through Rafael, Elbit and the Israeli aircraft industry. And recently, we are bidding directly with the IDF. As you know, our new director, new Board member has a good record in the IDF and he is helping us to open the gate there.
Todd Felte: Okay. And your tax loss carryforward is still around $60 million, but only an Israeli-based company could take advantage of that if they acquired you. Is that correct?
Eyal Cohen: I think even if a foreign company will acquire the control on BOS, still the company is registered in Israel. And if it continue to generate profit, it won't pay taxes regardless the holder of the company.
Todd Felte: Okay. I know you've talked about M&A activity, but help me understand why someone like an Elbit Systems, which is Israeli- based and they're NASDAQ listed with a $450 stock price and a $20-plus billion market cap. Why wouldn't they acquire you for onetime sales or $8 a share or $48 million and then take advantage of the $60 million tax loss carryforward? Is there antitrust laws or something that I'm missing there?
Eyal Cohen: No, I don't think there is any limitation to do that. I think it's -- maybe it's their strategic move, which company to acquire. I don't think there is any obstacle to do it.
Todd Felte: Okay. And on you guys acquiring other companies, have you made any progress? Or are there any targets out there that you're willing to discuss at this point?
Eyal Cohen: Yes. As I mentioned in previous quarters, we all the time have at least 2 opportunities on the table. We are checking. We are -- and we have all the tools to go ahead once we decided that the company is -- it is the one that we will acquire. But we are checking, negotiating. And once it will be -- once we see it's a good deal for our shareholders, we will do it.
Todd Felte: Congratulations again on an outstanding quarter.
Unidentified Analyst: This is Scott White at [ CIMCO ]. Can I ask a question?
Eyal Cohen: Yes, please.
Unidentified Analyst: Congrats on the great quarter, first of all. Can you highlight any new major customers in this quarter that you got? Or did the bulk of the business come from your existing customer base?
Eyal Cohen: I think it's less new customers. We have new customers, but the more important is the -- expanding the offering to the existing customer base. And we are doing very well with the new line of products of the wiring for our clients in Israel and especially to our clients in India, and it's going very well, and it's one of the growth engine of the revenues in '25 and in '26 as well.
Unidentified Analyst: Okay. And then secondly and lastly, despite the raise on the guidance, it sounds like the second half is going to be down versus the first half of the year. Are there any seasonal headwinds? Can you flesh that out, please?
Eyal Cohen: Yes. I think we had an exceptional first quarter, as you remember, with record revenues, which were exceptional. And this is the reason why the second half of the year will be in a lower revenue rate and profit as compared to the first half of the year. Second, we have to take some cautions because we have the backlog that they cover the year, the second half of the year, but we have to be cautious with the supply chain issue. Not all the time, we will be able to provide on time and to record the revenue on time as we had a store at the fourth quarter of year '24 when some major orders were pushed to the first quarter of year '25, and we saw the results. So this is the reason why we gave some conservative estimation for the second half of the year with the range that we will be in between. Any further questions, please?
Unidentified Analyst: Sorry. Congratulations on a great quarter. I was just wondering if you can shed a little bit more light on your Robotics division and any new product road map that you may have?
Eyal Cohen: Yes. We are -- the Robotics division is strategically focused on the defense clients in Israel. And the main client is Elbit Systems, which invest a huge amount of budget in establishing new factories, and those factories supposed to work by robotic systems, and we try to be involved in many systems as we can. The backlog of this division is about $3 million. Actually, we can deliver it by the second half of the year, but there are some delays from our client that their facility is not ready to install, but it will be ready in the second half of the year, so it will be a great year for the Robotic division. Meanwhile, there is one system of robotic line, production line of Elbit system, which is on the road to one country, to a European country, and it will be the first installation of our line in Europe through our client. And we hope that there will be more sites like that through Elbit around the world.
Unidentified Analyst: Just a quick follow-up. So currently, it's just so concentrated on one customer. I'm just wondering if you have a feel for potentially repurposing this technology into other industries. And especially, I'm interested in the U.S. Is -- do you have any feelers for what you could do for the U.S. market?
Eyal Cohen: We can do for the U.S. market, but through our clients because they are doing the [ cell ], and we are -- we provide a [ turnkey ] solution for the automation line. And I think it's more safety for us to work on that way. But in Israel, we also work in the civil market, especially in logistics centers when we provide robotic [ cells ] for -- mainly for palletizing. But our major focus is the defense for -- at least for the coming 2 or 3 years. I think we can increase the business significantly once we grab more projects from Elbit. And there are projects, there are budget.
Unidentified Analyst: I have one follow-up. From an Investor Relations perspective, you guys had previously indicated you're going to be in the United States doing some marketing. Have you firmed up those plans yet? And what dates and what cities will you be here?
Eyal Cohen: I think [indiscernible] is on the call. And I think next week, we will let you know to all the investors that are interesting to meet me. So we will send the schedule. I believe it will be in October. And I will be happy to meet you, Scott. Any further questions?
Unidentified Analyst: Sorry, I'm not quite sure how to get in the queue. Could I ask a question now?
Eyal Cohen: Sorry?
Unidentified Analyst: Could I ask a question? I'm not sure how to properly get in the queue. I apologize.
Eyal Cohen: Yes.
Unidentified Analyst: I have a question about -- a little bit about the defense spending, which is this year is obviously the major part of your revenue. What do you think is going to -- how much of it is cyclicality? Obviously, there was a war with Iran. There is a war in Gaza, unfortunately, still ongoing, and the budget is elevated. I understand that the defense budget in Israel is higher than the previous years and probably continue growing. But how much of your business is actually due to replenishing of Elbit and Rafael of the exhaust stocks of the defense after especially the war with Iran and also the operations in Gaza. What do you think would happen like 1 or 2 years down the road if hopefully the peace will prevail? How will it impact your revenue?
Eyal Cohen: I think that the Israeli defense industry is strong industry even before the war. The big exposure -- they are leaders in the world defense industry, and they will continue to do so for many, many years, and we are trying to touch to them. They are giant. We are small. So every piece of budget that we can grab, it has a fantastic and significant influence on us. But regardless this point, we see -- we feel that in the coming 2 years, there will be extensive budget expansion due to the level of ammunition in the warehouses and due to opening, establishing new production lines. By the way, most of it due to the embargo in Israel. So the decision of Israel government was to establish production line of ammunition that previously were both from Europe and from the U.S. So we believe that this situation will push the Israeli economy and the defense industry will be the leaders in the Israeli economy. And strategically, this is the place that we want to stick to.
Unidentified Analyst: My other question that's also related to defense is about the international opportunities. So especially obviously encouraging sales to India. Do you see significant expanding of your opportunities given that, obviously, Israeli military showcased itself to be superior during the recent events? How do you see the future expanding in other countries? And is it a direct work with the companies or this is basically through your subcontracting with Rafael, Elbit and other Israeli companies?
Eyal Cohen: Yes. I think the major country we are focusing on is India because it's a world hub for assembly that serve the defense industry. We see the -- I visited there recently, and I saw buildings of -- one building serving the Israeli aircraft industry, other building service Elbit, other building service, Boeing et cetera. So it's a hub. And this is a place that we want to expand our business regardless of the business that we are doing with the subcontractor of Rafael and Elbit in India. But to do a direct business, with the assembly industry in India. And we even consider -- we consider -- we are considering to open a local office in India to grab more business opportunities over there. By the way, especially in the -- in our line of cabling, wiring. Any further questions? Okay. So thank you. As we look ahead, I'm optimistic about several key factors. First, market positioning. Our focus on the defense, industrial and retail sectors position us in markets with sustained demand for our supply chain optimization and automation solutions. Second, technology integration. The convergence of our 3 divisions, the Intelligent Robotics, the RFID, the Supply Chain division is creating a unique value proposition for customers who will need comprehensive solutions. Third, customer relationships. We are seeing deeper engagement with existing customers and successful expansion into new accounts. Our $24 million backlog reflects this growing confidence in our capabilities. And let's close with this that Q2 represents more than just strong quarterly results. It demonstrates the effectiveness of our strategic focus, the strength of our market position and the capabilities of our team. So we are building a sustainable profitable growth while maintaining the financial flexibility to capitalize on future opportunities. And with our raised guidance for 2025, we are confident in our trajectory. So thank you for joining us today, and please don't hesitate to reach out if you need additional information or would like to schedule a follow-up discussion. by phone or during my visit in the U.S. during October. So have a great day, and thank you again.
Moshe Zeltzer: Bye-bye. Thank you.